Operator: Good evening. My name is Rob, and I will be our conference operator today. At this time, I would like to welcome everyone to the Amcor First Quarter 2023 Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. [Operator instructions] Thank you. Tracey Whitehead, Head of Investor Relations. You may begin your conference.
Tracey Whitehead: Thank you, operator, and thank you everyone for joining Amcor's fiscal 2023 first quarter earnings call. Joining today is Ron Delia, Chief Executive Officer and Michael Casamento, Chief Financial Officer. Before I hand over, let me note a few items. On our website, amcor.com, under the Investor section, you'll find today's press release and presentation, which we will discuss on this call. Please be aware that we'll also discuss non-GAAP financial measures and related reconciliations can be found in that press release and the presentation. Remarks will also include forward-looking statements that are based on management's current views and assumptions. The second slide in today's presentation lists several factors that could cause future results to be different than current estimates and reference can be made to Amcor SEC filing, including our statements on Form 10-K and 10-Q for further details. Please note that during the question-and-answer session, we request that you limit your question -- yourself to a single question and one follow up, and then rejoin the queue if you have any additional questions. With that, over to you, Ron.
Ron Delia: Okay, thanks Tracy. Thanks everyone for joining Michael and myself today to discuss Amcor's first quarter financial results for fiscal 2023. We'll begin with some prepared remarks before opening for Q&A, and I'll start with Slide three, which covers our first and most important value, which is safety. The first quarter showed continued progress on our long term objective of eliminating injuries across our global operations. Our teams are doing a good job proactively identifying and addressing potential risks, and the results are evident with a further 31% reduction in the number of reported injuries globally compared to last year. This good work has also led to a solid increase in the number of our sites that have been injury-free for the past 12 months or more, which stood at 63% at the end of the quarter. Our top priority will always be the well-being of our 44,000 global employees and achieving our goal of zero injuries. Turning to our key messages for today on Slide four, first message to leave you with is the business has delivered another strong quarterly result highlighting the relative stability of our end markets, our relentless focus on recovering higher raw material costs and staying ahead of inflation, and our proactive approach to driving costs out of the business in a volatile and challenging operating environment. The result was another quarter of strong operating leverage with 10% growth and adjusted earnings per share on a comparable constant currency basis. Second, we're confident in our ability to sustain solid organic earnings growth from the underlying business in fiscal '23. We've reaffirmed our guidance ranges for comparable constant currency EPS growth and free cash flow while updating our reported EPS guidance to reflect further strengthening of the US dollar. We assume the macroeconomic environment will remain challenging, however, our continued focus on sustainability, innovation and higher growth, higher value add segments combined with our proactive approach to managing costs, supports our confidence in delivering against our expectations for the year. Third, our attention to sustainability is unwavering. We understand our role in supporting the circular economy and we continue to improve the sustainability profile of our products. And finally, we want to leave you with a good understanding of why we're confident that Amcor's strong resilient business will drive long-term shareholder value creation. Moving to some of the first quarter financial highlights on Slide five. We've had a strong start to the year. On a constant currency basis, net sales growth was 15%, which includes approximately $400 million of price increases related to higher raw material costs. Excluding this pass through impact, organic sales grew 3%, both the flexibles and rigid segments generated price mix benefits and have done an excellent job recovering general inflation of approximately $75 million as a result of non-material costs increasing at double digit rates. Overall volumes were marginally lower, reflecting somewhat softer and variable customer demand through the quarter. As I mentioned earlier, operating leverage was strong with solid top line growth and proactive delivery of cost efficiencies in both businesses, driving EBIT up 9% and adjusted earnings per share up 10%. We continue to expect to deliver strong cash returns to shareholders this fiscal year through approximately $400 million of share repurchases and a growing dividend, which increased to $0.1225 per share this quarter. And our financial profile remains strong with return on average funds employed at 16.5%. We're pleased with our first quarter financial performance and we'll now turn over to Michael to cover more of the specifics, including our fiscal '23 outlook. Michael?
Michael Casamento: Thanks, Ron, and hello everyone. Turning to our flexible segment performance on Slide six, our flexibles business had another excellent quarter with all business units delivering solid organic sales growth while executing well on inflation recovery, cost initiatives and mix management. Net sales were up 6% on a reported basis, which includes recoveries of higher raw material costs of approximately $270 million, representing 10% of quarterly sales growth. The teams have continued to successfully manage the pass through of higher raw material costs, and as expected, the related price cost impact on earnings for the quarter was relatively neutral. Excluding the raw material impact organic, revenue growth of 3% was driven by favorable price mix benefits of approximately 4%, partly offset by lower volumes. Some business units experience lower demand in certain categories during the quarter. However, our broad market coverage and geographic diversification limited the overall volume impact. Sales across our combined priority segments grew high single digits for the quarter with healthcare a particular standout delivering, strong sales and volume growth across every region. In our Asian business, overall volumes were higher than the prior year, despite lower volumes in China, which was impacted by ongoing COVID related lockdowns. Adjusted EBIT was up 11% in comparable constant currency terms for the quarter, reflecting overall sales growth, price mix benefits and outstanding cost performance, including quick actions taken to flex the cost base in regions where the operating environment has been more challenged. Adjusted EBIT margin of 12.7% was comparable to last year notwithstanding the 130 basis point dilution related to increased sales dollars associated with passings through high raw material costs. Turning to rigid packaging on Slide seven, the key takeaway for rigids is the business delivered another quarter of solid sales and earnings growth. Reported sales were up 19%, which included the pass through of high raw material cost of approximately $130 million or 17% of sales. Excluding this pass through, organic sales growth of 3% was driven by price mix benefits of 2% and volume growth of 1%. In North America, we had positive product mix in the beverage business with hot fill volumes, up 6% reflecting growth across a range of categories, including sports drinks, juices, and ready to drink teas. From an overall standpoint, beverage volumes were lower than last year, reflecting a decrease in lower value cold fill and preform volumes. In the specialty container business volumes increased mid-single digits led by strength in healthcare, dairy and nutrition markets and in Latin America, volumes were up high single digits with strong performance in key countries such as Argentina, Brazil and Mexico. Adjusted EBIT increased 7% on a comparable constant currency basis, driven by higher overall volumes, strong inflation recovery and continued solid operating and cost performance. EBIT margins were 7%, and over the past several quarters have been negatively impacted by approximately 250 basis points due to a sharp increase in resin pricing being passed through the sales line and significantly increasing sales dollars as a result. In terms of the balance sheet, on Slide eight, we continue to maintain a strong investment grade credit rating, which provides us with flexibility to invest for growth and access to lower cost debt markets across key currencies. Leverage at the end of the quarter was three times and right in line with our expectations for this time of year, given the seasonality of cash flow. And as we highlighted in August, free cash flow was lower than the same quarter last year as we expected. Our cash flow is typically weighted for the second half of the year, and in fiscal 2023, this seasonality will be more pronounced given high raw material costs and the decision to increase inventory levels through last year to offset some of the volatility created by supply constraints. We have reaffirmed our four year cash flow guidance with cranes, which I'll come back to shortly. Notwithstanding the temporary increase in inventory levels, we remain highly focused on working capital performance, which is particularly critical in this inflationary environment, and we've maintained our 12 month average working capital sales ratio at 8%. In August, we announced an incremental investment in EPAC and the purchase of a flexibles plant in the Czech Republic and funded both of those investments in the September quarter for a total of around a 100 million US dollars. And while we did not repurchase any shares during Q1, we continue to expect to allocate approximately $400 million towards share purchases in fiscal '23. Turning now to Amcor's outlook for fiscal '23 on Slide nine, while we expect market conditions to remain challenging through 2023, we have had a strong start to the year and taking into account the relative stability of our end market exposures and our strong track record of consistent execution, we remain confident in our ability to deliver against the outlook we provided in August. We have reaffirmed our expectations for organic growth of 5% to 10% from the underlying business, and a benefit of approximately 2% from share purchases, while continuing to expect an impact from the following three non-operating items. Firstly, a negative impact of approximately 4% from higher interest expense after tax, forward curve expectations have continued to move higher, and interest expense is now expected to be in the range of $240 million to $260 million. Net of our expectations for a slightly lower effective tax rate, we continue to expect a 4% headwind to EPS as we know in August. Second, an estimated 2% negative impact from the scale down and scale of our three plants in Russia, which we continue to expect in the second half of the fiscal year and third, a negative currency translation impact of 5%, which is higher than the 2% we anticipated back in August due to the continued strengthening of the US dollar. As a result of this US dollar strengthening, we are updating our expectations for adjusted EPS on a reported basis to be $0.77 to $0.81 per share. In terms of cash flow, we continue to expect the seasonally stronger second half, and we have reaffirmed our adjusted free cash flow expectations to a range of approximately $1 billion to $1.1 billion. However, the stronger US dollar pushes our current expectation toward the lower end of the range. So in summary, for me today, the business has delivered another strong quarter of organic sales and earnings growth as we remain focused on executing for our customers, managing margins and taking decisive actions to rapidly recover inflation while flexing our cost base. Our ability to successfully balance these priorities supports our confidence in delivering another year of solid underlying growth despite persistent market challenges. And with that, I'll hand back to Ron.
Ron Delia: Okay, thanks Michael. Before we open the call to questions, I'd like to cover some of the drivers that inform how we think about our growth over the longer term and are relevant for our fiscal 23 outlook as well. For several periods, we've highlighted multiple commercially oriented drivers that have enabled us to deliver solid and sustainable organic earnings growth over the last three years. These drivers include opportunities and priority segments, emerging markets and innovation, and they've not changed and when combined with our ability to deliver continual cost improvements by leveraging our scale advantages and capabilities, these drivers give us the confidence we'll continue to consistently deliver solid organic earnings growth from the underlying business, even in the face of continued challenging and evolving macroeconomic conditions. Our focus on priority segments, including protein, healthcare, premium coffee, pet food, and hot fill beverages will continue to be a driver of growth and mixed benefits with more than $4 billion in collective annual sales, we have leading positions in each of these large addressable markets that have been growing at higher than market rates for us historically. And over time, we expect they'll continue to grow at mid-single digit rates with higher than average margins. As Michael mentioned, healthcare was a particular standout in the first quarter with strong growth across all regions. Emerging markets also continue to be a focus for Amcor. We have a large scale diversified emerging markets portfolio, which generates annual sales of more than $3 billion, and this is another source of organic growth. And over the long term, we expect these markets collectively we'll continue to grow at mid-single digit rates. In the last quarter, several emerging market countries delivered double digit earnings growth, including India, Brazil, and Mexico. Innovation provides a third opportunity for us to drive growth and value, particularly as customers and consumers focused on the critical need for more sustainable high performance packaging solutions. Amcor has industry leading r and d in material science capabilities and expertise and when coupled with our unmatched scale and geographic reach, these capabilities provide unique ongoing opportunities to develop differentiated products to meet the needs of our customers. For example, we're winning new business by taking fresh protein packaging solutions initially developed by the legacy beams business into the Asia-Pacific market, including modified atmosphere packaging solutions in China and the ecotype high barrier recyclable films in Australia. And a cross-functional and import team came together to partner with Pfizer to develop packaging for the first commercial batches of packs, Levi in the US market. Leveraging technology developed by our teams in Europe and our global footprint, we were able to start production of living and base material at the same time in five Amcor sites across five countries in order to fully meet Pfizer's requirements in one third of the standard lead time. Looking ahead, the strategic choices we've made to focus on these organic growth drivers will guide how we prioritize investments back into the business. We see at a wide range of attractive growth opportunities across each of these areas, and we're actively investing to sustain the organic growth momentum we've built over several years before closing a few words on sustainability. Sustainability is fundamental to everything we do and is deeply embedded in Amcor strategy and risk management framework and the basic start within our own operations. Our 2022 sustainability report will be released in a few weeks and will highlight some of the important progress we've made through the year. This includes reaching a cumulative reduction in greenhouse gas emissions intensity of 35% since the launch of amcos and Bio action program in 2008. A critical journey will continue through our commitment to achieve net zero emissions by 2050. In addition to carbon related objectives, we maintain robust targets for reducing water and waste and achieved significant milestones during the year. A few weeks ago, we also released our first TCFD report highlighting the important work we're doing to help ensure we make the right decisions on climate and packaging sustainability. Turning to Slide 12. We continue to make progress supporting the development of circular systems through the three pillars of our responsible packaging strategy, innovation, infrastructure, and consumer participation. Today, nearly a hundred percent of our rigid and specialty car and packaging portfolios are fully recyclable and in our flexible packaging segment, 83% of our product portfolio is designed to be recycled or has a recycle ready option available for trial. In fiscal '22, we used more than 130,000 metric tons of pcr, up 30% from the prior year, and representing 6% of our total re usage. And we're now building an increasing on our objectives with a new commitment that 30% of our total revenue use will be recycled material by 2030. In one example, to bring this focus on recycled content to life, we've worked closely with monies on the recent launch of packaging for several Cadbury Dairy milk products incorporate incorporating 30% food grade recycled content in both the UK and Australia. This is an important example of how a combination of strong relationships, differentiated capabilities, and a global footprint can translate into volume growth and mixed benefits. For Amcor, we've also continued to collaborate with others to support the development of recycling infrastructure. On October 12th, Amcor was the only packaging company to join 11 brand owners in the consumer goods forum to publicly signal a commitment towards further increasing the use of recycled materials and packaging. Together we express that our common interest in purchasing commercial volumes of chemically recycled plastic and our support for the development of credible, safe, and environmentally sound chemical recycling infrastructure. Our sustainability journey is ongoing and our long term strategy is helping to create a responsible packaging industry for the benefit of Amcor and its customers, but crucially for the environment as well. Turning to Slide 13, we've built a strong foundation to deliver growth and value creation, and we've consistently executed well against our strategy. We don't expect to be immune economic challenges and uncertainties, but we believe we're relatively well positioned with a defensive consumer staples and healthcare focused portfolio in multiple drivers of growth and cost productivity. And our consistently strong cash flow provides the ability to reinvest in the business, to pursue acquisitions or repurchase shares, and to grow the dividend and positions us well to generate strong and consistent value for shareholders over the long term. In summary, on Slide 14, despite a continued challenging economic backdrop, we've had a strong start to the financial year. Our consistent execution has enabled us to deliver solid sales growth and excellent operating leverage, resulting in double digit organic EPS growth. We're confident in our ability to deliver against our outlook for EPS growth and free cash flow, which we've reaffirmed today, and we're executing well to deliver long-term value for shareholders, including by making further progress against our sustainability agenda. And operator, we're ready to open the call for questions
Operator: [Operator instructions] Your first question comes in a line of Ghansham Panjabi from Baird. Your line is open.
Ghansham Panjabi: Thank you, operator. Good day everybody. I guess first off, Ron, many consumers stapled to customers of yours are aggressively raising prices and, you know, as a consequence of reporting weaker volumes along with de stalking, which I assume is part of the reason your volumes were sluggish in both segments for the developed markets. How do you sort of see that dynamic evolving as we cycle more fully through into your fiscal year '23? I guess what a customer sharing with you in terms of their own outlook at this point for next year?
Ron Delia: Yeah, look, thanks. It's a tough environment out there as you, as you alluded to, you know, we had flat volumes basically across the business and relative to many who've reported, that actually feels like out performance, believe it or not. Things definitely slowed down through the quarter. Certainly through this September, the month of September, things got a bit more bit softer in, in Europe and North America in particular. I think it's a function of the two things you mentioned. One is obviously there is a bit of inventory built up in the supply chain in certain segments, and I think we'll see that come out relatively quickly given that this is fast moving consumer goods that we're talking about. So we don't expect that any inventory impacts on volumes will be long lasting, but I do believe there is some extra inventory in the supply chain. And then secondly, the cumulative effective inflation on the consumer, which eventually will lead to some elasticity. And I think you're hearing that from brand owners we're, we're hearing in directly from them, and I think they're publicly commenting on elasticity maybe being less than expected, but still there is elasticity in many of the categories that we're supplying into. So look, we have a pretty modest expectation for volumes from here for the rest of the fiscal year. Michael will talk more about that, I'm sure, but, you know, our, our guidance includes a range of outcomes and a part of that range is where we end up on volumes.
Ghansham Panjabi: Okay, terrific. And then in previous quarters you've called out limitations on certain residents as it relates to availability and all sorts of disruptions and force. Can you just give us an update on that dynamic and some of the volume you've given up in the past as you internalize production and focused on higher mix? Is there an opportunity now to go and recapture that share for the rest of your fiscal year?
Ron Delia: Yeah, well, look, I think the -- as far as availability goes, the raw material availability picture has improved. I wouldn't say that it's completely we're completely supplied, but certainly the constraints that we face through much of fiscal '22 many of those have abated. We're, we're down to a much shorter list of constrained raw materials. It probably held back cells more modestly on the first quarter than it, than it impacted us in fiscal '22. But certainly the situation is improving as far as recovery of lost sales. I think in these segments, it's very difficult to expect lost sales to be reclaimed from one period to the next. Again, these fast moving consumer goods. And, you know, if you, if a sale is missed in in one period, it's unlikely the consumer goes back and double purchases in a, in a future quarter. So I think you know, we've got to look forward at this stage.
Operator: Your next question comes from the line of George Staphos from Bank of America. Your line is open.
George Staphos: Thanks very much. Hi, everybody. Good day. Thanks for the details. You know, Ron, you know, sticking with this topic that Ghansham teed up, can you talk about to the extent possible, what your customers were saying, where they're seeing the most negative effect from inflation on demand? And in particular, what are you seeing in the protein markets lately? You talk, you know, you talk broadly as you normally do in terms of being a priority area. What are you seeing real time in terms of that market in the first quarter?
Ron Delia: Yeah, look, I think, from a -- the first part of your question about where is the demand, I guess the most elastic, where are we seeing it often the most, I would answer the question more geographically than, than at the segment level. I think firstly I would say our healthcare volumes globally have been very, very strong. So that's the other side of the discussion is that healthcare has remained very robust, particularly pharmaceutical packaging. And that's been true everywhere. I think as it relates to food beverage packaging, home and personal care to some extent. Where we've seen the most softness has, has been in the developed markets in Western Europe and in North America. Presumably, you know, that's where the inflation is biting the, the most, I mean, we've got act actually at the moment, more modest inflation in some of the emerging market countries we're participating in. So really where we've seen the most softness and the increasing softness has been in North America and western Europe. And then I guess I would also add China to that list, but we believe that the China softness is primarily a result of the COVID related lockdowns. We believe that based on the patterns across the global footprint or the national footprint we have in China. So I'd answer to the question that from a geographical perspective, more than a segment perspective, and then as it relates to protein, protein is a high priority segment for us. Without question, it's an attractive segment for a lot of reasons, a lot of innovation in that space in particular around the films and materials. And, we had a, a flattish quarter globally across the protein space, so that's not what you'd expect, and it's not what we've experienced over the last several years. We, we would expect mid-single digit mid to high single digit growth in that segment, and we were, we were more, more or less flat for the quarter.
George Staphos: Thanks, Ron. And my follow on, just as we peer into the beverage business you saw very, very good bus trends in your higher margin areas, which it would be sort of counterintuitive with a consumer being pinched by inflation relative to would be the lower margin areas, which were actually weaker? Yeah, if you could talk to that, that'd be great. Thanks, and good luck in the quarter.
Ron Delia: Yeah, thanks, George. No, it's a good observation and it's a good insight. I would, I would agree with your insight there that generally speaking the hot fill space is, is a space where there are more premium beverages being sold. A lot of that goes through the convenience channel. I think what we're seeing there, to some extent is function of our customer mix. It's a function of new product introductions. Some segments actually held up pretty well through the quarter as, as whole segments ready to drink teas sports drinks to some extent some of the hot filled juices. But I also think its 90 days, and I think in a 90-day period, you, you have distortions that relate to inventories and different customer performance. So I'm not sure I would read too much into that, other than our hot fill volumes have continued to grow at attractive rates. And it's one of the reasons we've prioritized that segment.
Operator: Your next question comes from the line of Jakob Cakarnis from Jarden Australia. Your line is open.
Jakob Cakarnis: Hi Ron. Hi Michael. Michael, can I just get you to give us a sense of where that inventory is at the moment in both a units and value perspective? Just noting, obviously it continues to build alongside the inflation. Just want to get a sense of how clean that might be given the volume outlook that we've just spoken to.
Ron Delia: Yeah, that from Doug, as we said, I think we were, we were expecting, or we have been holding higher imagery levels or building higher energy levels, really as a, a contingency against the supply constraints that we've been experiencing for the last 12 months. And we guided back in August that we didn't expect that to come out of the system in q1, which it didn't, and we saw, we saw you know cash outflow as a result of that. As we look forward we'd expect, into Q2, things are going to stabilize. And then as we head into H2, we should start to see inventories come off you know, out of the system. And it's a combination of both volumes and value. I'd say the split, if I look year-over-year, it's probably 40% relates to volume and 60% is, is relating to the higher prices year on year. So you know, as we, as we look forward to the end of June part of our cash flow guidance includes a pretty neutral position in terms of working capital year over year. So we we're expecting working capital to be relatively flat versus the prior year where we had an outflow of 150 million. And that's largely on the back of that, that reversal in the inventory side in that helping us guide to that one to 1.1 billion in cash.
Operator: Your next question comes from a line of Keith Chau from MST Marquee. Your line is open.
Keith Chau: Good gentlemen thanks for taking my question. The first one even for Ronald or Michael, could you be a bit more explicit about the raw materials benefit that you may receive given your coming off a price cost like neutral scenario in the first quarter? Just wondering if you could help us quantify what the potential benefit could be for the remainder of the year. And, you know, given there could be potential benefits, does that imply the volume outlook is probably more for more softness, And again, if you could be more explicit as to what the volume direction is and quantum for the full year, what your expectations are, that would be fantastic. Thank you.
Ron Delia: Yeah, Keith, I'll touch on volume and then Michael can talk about the, the raw material side. I, I think they, I think to be very plain spoken about it, we do expect soft volumes the rest of the year. I mean, I think that's the cautious, more conservative approach to take. I think you can tell by the operating leverage we got in the first quarter, we've been really proactive at getting after cost. You know, cost performance in the operations in both segments was really strong in the first quarter, and we will continue to be strong, and that's because we expect a pretty soft volume environment, which I think is very consistent with what everyone else in our, in our value chain is experiencing as well, but maybe on the, on the raw material side?
Michael Casamento: Yeah, no, it's on the raw material side cases, as you know, throughout FY 22, we've pretty much over the last two years really, we've pretty much had a, a manage manageable headwind on the, on the price cost lag in recovering raw material. As we exited, FY '22, we were getting to a more neutral position, and in Q1 we were relatively neutral. As we called out, as we look forward into Q2 we, we are expecting a, a modest tailwind on raw materials and, you know, as you know, we buy a basket of raw materials across the globe, and, and so they can move at different times, but based on what we see today, we'd expect some tailwind in Q2. And as we look into the, further out into the year, it's really volatile environment and difficult to say, but, in terms of our guidance, the 5% to 10% underlying performance you know, that takes into a can of range of factors around the raw material pricing. So, to get to the upper end, that would mean raw materials come off faster and we get, we get a bigger tailwind as we head into the second half you know, at the lower end of the range, obviously raw material spike again. But we'll see -- we'll see how things turn out as we head into, into Q3.
Keith Chau: Michael, can I just quickly follow on with that? So you've got inventories from a volume perspective quite significantly high. So 40% of the total uplift, if you're winding back those inventories going into the balance of the year, what type of operating inefficiencies are we likely to see given you've had a period of actually efficiency benefit as you've ramped up inventory? So are we, should we expect a margin impact as you wind back those?
Michael Casamento: Well, a lot of the inventory is raw material inventory.
Ron Delia: Yeah, it's raw, it's raw material, Keith. So, so in that respect, I mean, it's going to flow through get passed through to the customer.
Operator: Your next question comes from a line of Kyle White from Deutsche Bank. Your line is open.
Kyle White: Hey, good morning. Thanks for taking the question. I wanted to go to the beverage volumes down 3% in North America. I know it may be a little bit difficult to say, but is do you think that's a function of some of the destocking that we've been talking about, or is that more longer lasting volume weakness with customers choosing value over volume and, and the inflationary pressures impacting consumer demand?
Ron Delia: Oh, look, it'd be really hard to read anything into the last 90 days. That's, that's long term to be honest, Kyle, I think there's been so much volatility and the volumes through the quarter were quite volatile. So I, I think there's a bit of destocking in there. I think, I'm sure when the dust settles, we'll see some, some shift towards, towards volume over value or toward, towards big packs. I mean, I think that's likely if we hit real soft economic patch, but I think in the first 90 days it's a function of inventories in the chain, it's customer mix. It's a number of different factors.
Kyle White: Got it. And then you touched on it a little bit earlier, but I think the volume challenge in the fast moving good space, it's understood. But can you touch on what you're seeing in the healthcare space more specifically and how that trended through the quarter? And do you anticipate any challenges to, to volumes here from some of the economic challenges as well as the inflationary environment we have?
Ron Delia: Yeah, look, I think healthcare was a real powerhouse for us in the quarter, and it was very consistent through the quarter. So we had high single digit volume growth across the global healthcare business. And that was -- that was consistent by month and it was consistent by region, and we would expect that to continue. I think you might recall that this segment is a mid-single digit grower for us over a long period of time. We had a little bit of a rough patch during COVID when there were less elective procedures and me medical procedures, less prescriptions written, etcetera. I think we're sort of back to roughly where we were pre-COVID and we would expect that business to continue to grow. We've put some investments on the -- into place, which we've yet to really see the benefits of, but that will also help propel the volumes going forward. We've got a new healthcare plant in Southeast Asia. We've got extension of a facility in Ireland as a number of film assets we've put into that business. And we expect that those will help power the business going forward.
Operator: Your next question comes from the line of Adam Samuelson from Goldman Sachs. Your line is open.
Adam Samuelson: Yeah, thanks. Good evening everyone. I guess I wanted to ask, just to be clear, in the five to 10% organic EBIT growth in for fiscal 23, what are the assumed volumes in, in in that, in that range and, and I guess associated with that the strong mix and non-resin price that you generated in the flexibles business in the quarter. Just do you see that level of mix potentially persisting through the year especially as raw material availability starts to improve, which I believe had constrained or had been created a mixed benefit for you because you were prioritizing certain market segments last year? Thank you.
Michael Casamento: Yes. Thanks, Adam, for the question. Look, in terms of our guidance, obviously, we've got a range of outcomes in the 5% to 10%. I mean the base assumption is that volumes are going to be fairly modest. We're not expecting any major volume growth. Clearly, in the first quarter, we were flat and market conditions are pretty tight and tough out there. So where we are focused, obviously, is continuing to drive the business to recover inflation and the raw material costs and actively taking cost out of the business, which also supported the result in the quarter as well as strong mix through continued innovation and mix management driving the focus segments and the like. So in that 5% to 10%, clearly, there's a range of outcomes. If we do better on the volume side in some of the focus segments, then we'll potentially have better mix and end at the higher end of the range. if you see more recessionary impacts and softer consumer demand, that could drive us to the lower end of the range. Obviously, raw material prices, as I touched on earlier, can impact as well. So inflation is the other big one. We did well in the quarter to recover inflation through price and mix. And we are expecting more inflation as we head through the year and expect to recover that. But that's another factor that could drive a range of outcomes in that guidance.
Operator: Your next question comes from the line of Daniel Kang from CLSA. Your line is open.
Daniel Kang: So just a question on the Russian process. Can you talk us through how it's progressing? I noticed that some of your peers have achieved a better outcome than expected.
Ron Delia: Well, look, we're trying to exit in an orderly way. Just for context, we have 3 factories in Russia. Collectively, they've generated about 2% or 3% of sales over the last several years, about 4% to 5% of EBIT. We announced in August that we're pursuing the sale of those 3 factories. We said at the time we're going to pursue an orderly exit, meaning that we're going to look to preserve value for shareholders as well. So we're running what you -- to the extent you could call it a typical M&A process in that environment, that's what we're doing. And there's been a reasonable degree of interest. So we're still optimistic the process will run its course and complete sometime in the second half of this fiscal year.
Daniel Kang: Great, Ron. And the proceeds would just go to debt repayment, I'm presuming?
Ron Delia: Yes. Look, I think we'll deal with that when the time comes. I mean we are repurchasing shares this year. We've spent about $100 million in the first quarter on acquisitions. We'll continue to look for further acquisitions. So I think we'll see where we get to. But as a general rule, we're not of the view that paying down debt is going to be a very value-creating use of cash right at the moment, even with interest rates elevated from where they were a year ago.
Operator: Your next question comes from the line of Anthony Pettinari from Citi. Your line is open.
Anthony Pettinari: Just following up on Dan's question, can you talk about ability and willingness to pursue M&A in fiscal '23 in what's probably going to be a tougher macro environment? You had a peer that announced a large acquisition today. And then in that context, maybe you could talk a little bit more about ePAC.
Ron Delia: Yes. Well, look, I'd say the ability and the willingness are both high. But it always takes two to tango in an M&A situation. And we're actively pursuing deals. I mean that's part of our formula and has been for a long time. We think there are good bolt-on opportunities across our portfolio. I think what I would say is you can safely assume that anything that's in the market, in the packaging space or at least in our segments, we're having a look at and a close look at. So the appetite is there. The willingness is there. The balance sheet and cash flow are there. We're pretty clear on our strategy in terms of the segments we want to grow in, the geographies we want to grow in. So we'd like to try to be active. In some respects, a tough macroeconomic backdrop might not be the worst context, the worst setting for us. If you go back over a number of years, we've tended to be more active when asset prices were more modest or at least more in line with long-term trends. And we're going to remain disciplined and actually hope that's the case in this cycle. ePAC, just quickly on ePAC, it's more of a corporate venturing type investment. So we've got a minority stake. We've put some more money into it but it's still a minority position in a start-up -- relative new startup called ePAC, which has been around about five or six years. It's a digitally enabled flexible packaging company. They essentially rely on digital printing. The whole process is digitized. And it's a really exciting opportunity. It's a business that's targeting small and actually micro customers with quick lead times and very responsive service model. And it's been growing really almost by triple digits over the last five or six years. So we're pretty excited about that business.
Operator: Your next question comes from the line of Richard Johnson from Jefferies. Your line is open.
Richard Johnson: Just a question on Russia, if I may, please. I noticed you've got a $90-odd million restructuring program related to the sale of the three plants. Just intuitively, that feels like a very high number. And I was just wondering if you could help me understand what's behind it.
Michael Casamento: Richard, that was just the impairment that we took back in -- well, at June 30 year-end, when we noted the asset as held for sale. So we had to impair the asset to an estimated book value -- market value. And so that was the adjustment for that one.
Richard Johnson: Yes. But if you break down that $200 million, Michael, you talk about $62 million and restructuring costs was a further $30 million to go this year. So it's really that bit I'm trying to understand what that is.
Michael Casamento: Right. Yes. Well, part of that was the -- we've obviously got to close the Ukraine and close that piece out. And then to relocate part of the business out of Russia, rightsize the footprint in Europe and also SG&A restructuring as well to help to mitigate the lost earnings from the Russian business, which we feel that we're taking a lot of action in that front to help recover some of that 4% to 5% in EBIT that we're going to end up losing as we go through the sale.
Richard Johnson: And while you're on the line, just on the interest charge, very helpful guidance you've given. I was just trying to get a sense of what that number would be on a constant FX basis.
Michael Casamento: It's pretty similar, Richard. It's not a material movement on that front.
Operator: And your next question comes from the line of Mark Wilde from BMO. Your line is open.
Mark Wilde: Michael, along the same lines, what's the -- what's your breakout just fixed and floating on the debt?
Michael Casamento: Yes. Look, the fixed and floating piece at the end of September was 50-50 fixed and floating. Since that time, we have taken some fixed rate swaps. And so we're -- today, we stand around about 65% fixed versus 35% floating.
Mark Wilde: Okay. All right. And then, Ron, I'm just curious, what would you say the 3 biggest challenges are for you at the moment?
Ron Delia: I think making sure that the teams stay focused on trying to drive growth in the segments that we've nominated as areas we want to grow and at the same time, being out there and really aggressively focusing on recovering inflation. I think that's the key. I think -- there's one other one I'll come to. But I think, generally speaking, we're trying to do two things at the same time, which you could consider to be contradictory. We're trying to grow the business and generate momentum on the top line. And we feel like we've never had more tools at our disposal to do that. And we're investing more CapEx and more R&D, et cetera, et cetera. But at the same time, we've got to be out front of inflation. And so just trying to manage that message internally and managing the balance between those two things is the real challenge. And then the second thing is just -- there's just been a lot of exogenous factors out in the operating environment over the last several years, starting with the pandemic and then the supply chain disruptions and then in the parts of the business impacted by the Russia-Ukraine conflict. There's been a lot of different exogenous factors out there. And so I just want to make sure people have energy and they're renewed and they're pumped up and fired up to come to work every day. I think that's not an insignificant challenge when there's so many different things being thrown at them. They really have nothing to do with the base business of selling packaging.
Operator: And your next question comes from the line of Larry Gandler from Credit Suisse. Your line is open.
Larry Gandler: Just in terms of your cash flow guidance, do you need to take further price increases from here to expand that tailwind of price cost lag?
Michael Casamento: Look, Larry, we're -- obviously, you're cycling through a kind of 12-month period. So we -- there will be still some further increase in pricing on the raw material side. We'll see how that plays out into the second half. But I would still be expecting some further increase as we roll through the year.
Larry Gandler: That's further price increases that you guys take as opposed to cost increases, just to be clear.
Michael Casamento: Yes.
Larry Gandler: Yes. Okay. And I don't know, Mike or Ron, if you could just talk to the pet food category, maybe in Europe and U.S., how that played out over the last quarter and maybe recent trends?
Ron Delia: Yes. Look, it's been a solid segment for us in terms of growth and margin as the pet food segment generally has premiumized or humanized, you'll hear the two words used to describe that segment. We transitioned over in many number of years from primarily dry pet food and bulk to essentially almost single-serve pet food in smaller pouches. And we benefited a lot from the increased packaging intensity and that segment is increasing sustainability requirements of that sort of packaging. And one of our innovation platforms, AmLite, is directed squarely at that segment in partnership with some of our big customers. So it's a pretty exciting space and there's a lot of innovation brought to the market, both by the brand owners and by us as a packaging supplier. And it's been a mid-single-digit sort of growth segment for us. The first quarter, quite frankly, was flat. We were pretty much flat globally. The Russian -- Eastern European sales were soft. We had some growth offsetting that elsewhere. So all up, we were more or less flat for the quarter. But we don't see any signs or cause for concern around the secular trends that have made it such an attractive segment going forward.
Operator: Your next question comes from the line of Nathan Reilly from UBS.
Nathan Reilly: Ron, a quick one. Just are you achieving any manufacturing efficiencies in the plants, just as raw material availability starts to improve some of those supply chain challenges start to stabilize? I'd also appreciate a bit of color on labor just in terms of cost and availability and just an idea of how that's all washing through your organic growth guidance.
Ron Delia: Yes. Look, it's a good question. We're really pleased with the plant performance. So firstly, in terms of the availability of the imports, as I noted earlier, the raw material availability has improved. There are still some specialty materials that are in short supply, and I think that's going to continue for a while. But many of the constraints and bottlenecks we were dealing with over the last 12 to 18 months have abated. So that situation has improved. And generally speaking, the labor availability has improved across the network. Certainly, this time last year or even the earlier part of calendar '22, we had some real labor challenges, especially in North America and in Europe as COVID spikes rolled through those regions. That seems to be behind us at the moment. And we've not had real labor constraints for some time. So I think from a factor availability or input availability, the plants have been able to run more unencumbered. And then I think as far as the productivity and the efficiencies, we're really pleased. We think that's one of the highlights of the first quarter. If you look at our 9% EBIT growth, we'd say probably about 1/3 of that came from price and mix but two third of it came from the cost performance in the plants. And so that's where we got the operating leverage to turn really flat volumes, actually modestly down volumes into 10% EPS growth. So we're pretty pleased with the way the plants are performing. And it's important because we're going to need them going forward.
Operator: Your next question comes from the line of Brook Campbell-Crawford from Barrenjoey.
Brook Campbell-Crawford: Just to follow up on an earlier comment around the restructuring in Europe. Are you able just to confirm, is the plan actually to close plants in Europe going forward? Or is it -- is this provision that was taken, I guess, 3 months ago now more relating to the closure of Russia and you're not actually planning to close plants in Europe?
Ron Delia: Yes. Look, just to put some context on that, as I said, the Russian business is about 4% to 5% of global EBIT. Within Europe, it's obviously a much higher percentage. So we've got an -- we're going to sell that business and we're going to lose those earnings. We've got an obligation to try to protect the income statement and generate profit where we can. And so we're going to -- we're going to take some cost out. We're going to rightsize the part of the business that was most directly affected. So some of that cost is related, as Michael said, to just the transition of winding down operations in the Ukraine and migrating certain business out of the Russian plants that can be repatriated into other plants in the European network that will -- that's part of where that cost is going. There'll be some overhead reductions because we'll be operating a smaller business. And there may be a plant closure to be determined, but we haven't come to that conclusion yet.
Brook Campbell-Crawford: Okay. Great. And I guess the free cash flow guidance this year is unchanged. But what's the expectation at this point for the cash significant items that, of course, sort of falls outside of that $1 billion to $1.1 billion guidance range?
Michael Casamento: Yes. Look, it's a relatively smaller amount, maybe $20 million to $30 million. It's not significant.
Operator: And your next question comes from the line of John Purtell from Macquarie.
John Purtell: Just picking up on a couple of the recent questions. Coming back to you mentioned sort of protein volumes were flat in the quarter and pet foods flat as well and coffee was back a little bit. I appreciate it's only a quarter, but was that sort of destocking driving that sort of flatness? Or is there -- I know you sort of haven't seen -- or haven't called out a sort of material COVID benefit overall in recent years. But we have seen obviously strong coffee and pet food volumes over the last couple of years. So is there a little bit of a cycling effect there from that? Just trying to sort of understand that a bit more.
Ron Delia: It's really hard to say. The only segment where you feel like there's more inventory and maybe got a little bit of a bump in hindsight is the coffee space. We do -- primarily our coffee business now is primarily single serve and systems -- coffee systems, which -- this is more intuitive or hypothesis than it is borne out by facts. But intuitively, more at-home consumption -- more people at home would have driven more at-home consumption of single-serve coffee and coffee system sales pods and the like. And so we may be seeing a little bit of the unwind of that. But I think the more important thing is that long term, these segments, the secular tailwinds that relate to greater packaging intensity to provide the consumer the convenience and functionality that they're now used to. And so we continue to be bullish on these segments over the medium to longer term.
John Purtell: And look, in terms of the final question, sorry, I'm going to ask probably 2-in-1 here. But in terms of if we do see consumers trade down, Amcor's exposure to big brands versus home brands. Historically, you've had a pretty balanced exposure. So you pick up some home brand spend if that indeed does transition. And so the second part is we've talked obviously a lot about sustainability products in recent years. Are we now at a point where you're starting to see those new products really move the needle and make a material contribution to price and mix?
Ron Delia: Yes. Look, on the private label versus branded mix, our mix kind of looks like the market. I think you have to get to the segment level. And certain segments have much higher penetration of private label than others and our mix kind of reflects that. And so I would say there's not a whole lot there in terms of what the impact will be as consumers shift potentially to private label from branded goods. On the sustainability platforms, look, we are starting to see some traction. The sales are in the tens of millions of dollars now, which is growing off a low base. So this is sales of the platforms that we talked about before, the AmPrima and AmFiber and AmLite and Sky. So we're starting to get there. I think it's just all part of the formula of continually driving mix benefits and margin expansion off of the organic volumes of the business.
Operator: Ladies and gentlemen, this concludes our question-and-answer session. I will now turn the call back over to Ron Delia for some closing remarks.
Ron Delia: Okay. Thanks, operator. Thanks very much for your interest in Amcor today. We feel like we had a good strong start to the fiscal year. And we're maintaining our expectations for the performance of the base business for the rest of fiscal '23. And we look forward to continue to provide updates along the way. Thanks very much. And with that, operator, we'll end the call.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.